Operator: Greetings, and welcome to the Vuzix Second Quarter ending June 30, 2025, Financial Results and Business Update Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. Now I would like to turn the call over to Ed McGregor, Director of Investor Relations at Vuzix. Mr. McGregor, you may begin.
Ed McGregor: Good afternoon, everyone, and welcome to the Vuzix Second Quarter 2025 ending June 30 Financial Results and Business Update Conference Call. With us today are Vuzix CEO, Paul Travers; and our CFO, Grant Russell. Before I turn the call over to Paul, I would like to remind you that on this call, management's prepared remarks may contain forward-looking statements, which are subject to risks and uncertainties, and management may make additional forward-looking statements during the question-and-answer session. Therefore, the company claims the protection of the safe harbor forward-looking statements that are contained in the Private Securities Litigation Reform Act of 1995. Actual results could differ materially from those contemplated by any forward-looking statements as a result of certain factors, including, but not limited to, general economic and business conditions, competitive factors, changes in business strategy or development plans, the ability to attract and retain qualified personnel as well as changes in legal and regulatory requirements. In addition, any projections as to the company's future performance represent management's estimates as of today, August 14, 2025. Vuzix assumes no obligation to update these projections in the future as market conditions change. This afternoon, the company issued a press release announcing its 2Q 2025 financial results and filed its 10-Q with the SEC. So participants on this call who may not already done so may wish to look at those documents as the company will only provide a summary of the results discussed on today's call. Today's call may include certain non-GAAP financial measures. When required, reconciliation to the most directly comparable financial measures calculated and presented in accordance with GAAP can be found in the company's filings at sec.gov, which is also available at www.vuzix.com. I will now turn the call over to Vuzix CEO, Paul Travers, who will give an overview of the company's operating results and business outlook. Paul will turn the call over to Grant Russell, Vuzix's CFO, who will provide an overview of the company's second quarter results, after which we will move on to the Q&A session. Paul?
Paul J. Travers: Thank you, Ed, and thank you to everyone joining us today. I'd like to start with a few select Q2 highlights. As you know, and representing a great milestone and statement about Vuzix's ability to manufacture waveguides and volume, Vuzix has met all the manufacturing and performance gates tied to the second Quanta tranche and received a further $5 million in equity, bringing Quanta's investment thus far to $15 million of a planned $20 million total. I will share a bit more on this shortly. We have also commenced volume shipments of waveguides to our first OEM waveguide customer. And alongside that, we have formally engaged with multiple new Tier 1 OEM waveguide customers spanning enterprise to the broad markets. And just this week, we have announced the new LX1 enterprise smart glasses focused on warehousing and logistics with integrated voice and vision workflows. Initial customer sampling is underway, and the production rollout is scheduled for Q4 with strong initial demand and interest across our existing customer base. Why do these events matter? Our strategy is simple, and these proof points show its execution. We plan to monetize the enterprise market and scale OEM waveguide optics for AR and AI-driven smart glasses across the even broader consumer markets in parallel. And this strategy is driving multiple and sizable market verticals for Vuzix. We're enabling enterprise customers to rethink frontline workflows and accelerate the digital transformation that is at the forefront of the integration of AI and the future of work. We're engaged with multiple prime defense contractors to design and support the next generation of see-through wearables, and we're on the ground floor to participate in a global evolution from consumer smartphones to AI-driven smart glasses. This strategy is also leading towards a growing base of ODM and OEM customers, including strategic partners like Quanta, who will rely on our scalable waveguide capabilities to power their own smart glasses and HMD solutions for their customers. Looking ahead, our vision is to power the future of these connected smart glasses with waveguides at their core. The collective opportunity is considered massive in both units and dollar terms, and we intend to participate in a very material way as we scale with disciplined and capital-efficient growth. For OEMs, the metrics that matter most to them when selecting key technology component suppliers are clear: high-volume and cost-effective manufacturing, strong yields and consistency at scale. Vuzix is demonstrating exactly that, proving we can meet the quality, volume and cost targets essential for global AI-driven smart glasses adoption. These capabilities have been acknowledged not just by Quanta, but soon also by multiple ODM and OEM partners, reinforcing our leadership in scalable AR optics. Our ability to deliver new and customized waveguide prototypes with turnaround times far shorter than others gives us a unique edge. This isn't just about designing a single product or one-off engagement. It's ultimately about a long- term platform strategy. We are engaged currently in joint product development, co-marketing and integrated supply chain initiatives with several entities, positioning Vuzix as a core component supplier of next-generation waveguides. We are often asked whether Vuzix is or will be inside a specific pair of smart glasses. The truth is many of the brands you know spanning tech companies, fashion houses and consumer electronics leaders are now attempting to develop and introduce smart glasses. And our goal is to supply waveguides to as many of them as possible. Crucially, Quanta, a $35 billion market cap company, already manufactures and supplies ODM/OEM products for nearly every major player in the Western world. Partnering with them give Vuzix a powerful entry point into broad consumer markets. And while we respect Quanta greatly, we are also now engaged with some of their competitors directly as well that have been approached by their respective OEM customers for solutions. With partners like Quanta and other leading ODMs and OEMs, we feel we are entering the market at exactly the right time with scale, proven manufacturing and reference designs ready to go. The AR smart glasses ecosystem is aligning. Consumer and enterprise users' behavior is already shifting and smart glasses are next. And Vuzix waveguide optics, we feel are positioned to power the coming wave. In Q2 2025, Vuzix received $5 million tied to the second tranche of Quantum Computers investment contract. Again, bringing their total commitment to $15 million thus far out of a planned $20 million. Importantly, this tranche was tied to actual manufacturing performance, not forecasts. We were required to demonstrate specific yield and volume capacity thresholds under real production conditions, and we have exceeded their expectation. Quanta set key production yield gates. And from the very first runs, we delivered yields far north of their expectations with high run-to-run consistency. Our waveguides also met or surpassed all required performance metrics, including contrast, haze, brightness, efficiency and production run rates. And last, but certainly not least, from a financial perspective, we're hitting target price points that will produce strong production margins for Vuzix at scale. We believe we have now also satisfied all the technical gates required for the final tranche investment of $5 million from Quanta and anticipate receiving funding as per the stock purchase agreement. I would like to add that Quanta is more than a strategic investor. They're a world-class manufacturing partner with a proven track record in high-volume production. Together, we're advancing multiple new programs built around Vuzix waveguides, all targeting large deployment opportunities. This relationship is shaping our go-to-market and scaling strategy. It enables us to quickly commercialize at scale efficiently, reliably and profitably. By leveraging Quanta's infrastructure, we can remain capital efficient and focused on core innovation while accelerating production to meet the growing demands of our customers. We are seeing enterprise adoption reenergize as AI and AR capabilities and use cases are emerging fast across logistics, remote support, training, manufacturing and quality assurance. AI is transforming smart glasses into assistance in the workplace, but it can't solve problems unless it has a feel for what the problems are in front of the worker. With our smart glasses, with see-through waveguides, we are building that ideal platform. Think about cool yet simple applications like taking a picture with smart glasses. That is nothing. When AI is integrated directly into these devices, their potential to enhance real-time decision-making and productivity in the workforce is game changing. As skilled labor shortages grow due to retirements and shrinking talent pool, AI-enabled smart glasses will become critical tools for augmenting workers in complex hands-on roles. Enterprise stands to benefit significantly as these devices streamline operations, reduce training time and boost overall efficiency. Take the automotive industry, for example, a vertical where we see great potential for smart glasses usage. If you took a deep dive today, you would be surprised by what a large percentage of a car is built by human hands. I know they show robots on the outside of cars, painting them and welding them, sure. Those bigger, bulkier functions are jobs for a robot. But if you visit some of the largest car companies on the planet and ask them what percentage of their final manufacturing is done by a human, they will tell you it's far north of 80%. The problem today is that they're expecting human beings to do more and more. And how do they do that if they don't have the proper training and support that a pair of AI-driven smart glasses can provide. There simply are limits to human capacity. And by using AI, those limits get significantly lifted by having AI agents to help. Within warehousing and logistics, automated robotic systems can excel at handling routine tasks with predictable outcomes, but struggle when faced with exceptions. Human-in-the-loop automation is a hybrid approach where automated systems and human judgment are integrated into a single workflow. In this workplace instance, a worker is equipped with vision picking smart glasses like Vuzix's new LX1 that can outperform traditional voice-only systems, especially in complex loud or high SKU count and high velocity picking environments. The warehouse labor market has also reached a crossroad in recent years. Turnover in the warehouse roles often exceeds 30% annually. Skilled pickers are in short supply and aging workforces alongside overall rising labor costs will accelerate the adoption of assisted tech, including AI-driven smart glasses. The LX1 announced earlier this week was specifically designed to meet the evolving demand of the warehousing and logistics voice picking industry, which according to research analyst firm markets and markets is estimated at approximately $6 billion in 2024 and could be $25 billion by 2034. This expected phenomenal growth falls squarely on top of the human-in-the-loop automation, which is one of the largest and fastest-growing market opportunity segments in supply chain today. Let me add, we have customers coming to Vuzix that are searching for alternatives to their antiquated pick by voice solutions. The LX1 features integrated voice control and visual access to real-time information that allows warehousing operators to get the best of both worlds, voice and vision-based systems. The LX1 is rugged and purpose-built to stand up to the physical demands of modern logistics environments, all while supporting a single shift on a single charge. Quanta is our manufacturing partner for the LX1, and it extends our growing relationship with Qualcomm. Select end customers and ISVs are already getting their first samples of the LX1, which will be in production and available more generally to enterprise customers before the end of the year. The Vuzix Software Solutions Group, formerly Moviynt, has a growing pipeline of recognizable brands and logos operating in traditional logistics markets and with comprehensive workflows. Initial implementations are already showing strong and in some cases, remarkable operational gains and productivity improvements in certain warehouse applications, highlighting our going-in leadership position in AI-enhanced enterprise solutions. As we look at the future of smart glasses, I like to think of it a bit like the early automotive industry in the late 1800s. Back when cars were just emerging, there were countless small makers in a wild frontier of innovation before the industry took shape. And before that, there were many years of horse and buggy. Today, the smart glasses world feels somewhat like that. Many players, big and small, all trying different approaches. Even giants like Microsoft with the HoloLens or Magic Leap with billions in funding have stepped in and stepped out of the smart glasses industry. Yet here we are, Vuzix, a smaller company, still standing out and going strong. Our enterprise side is sitting in a great spot, and we are carving our own path in this new frontier, just like those early automotive pioneers who eventually reshaped the world. And if we think about how the smart glasses industry has evolved, there's another important parallel. For a long time, smart glasses were almost like an experiment. People weren't sure what to expect. They were feeling out what might work. But now after years of learning and listening to real-world feedback and with the amazing capabilities of AI, the landscape is changing. We've got customers who know exactly what they need and who have helped shape products like the LX1 to be a true solution, especially in the warehouse space. It's like the moment when people realized they could afford a car, and it wasn't just a novelty. It was something that could change how they worked and lived in the same way the LX1 isn't just another pair of smart glasses. It's a tool built from the ground up with real customer insight, and it's a sign that we've reached a turning point where these devices are truly ready for prime time. And with our capabilities in design and manufacturing of the critical waveguides needed, customer market opportunities and partner engagements across enterprise, defense and consumer continue to mature and expand. Our target markets are large and innovation and investment in these markets by many entities continues to accelerate. In defense, we have numerous programs in flight with prime defense contractors and other brands to deliver waveguide and display technologies that are going into next-generational products and head-worn devices to support drones, radar surveillance, commercial and industrial aircraft, commercial products and even ultimately in consumer products. For the broader markets, our relationship with Quanta remains central, but we have recently added Himax as a development partner and are advancing collaboration discussions with numerous other ODMs and projection makers. Let me conclude by stating that we believe that a structural inflection point is finally at hand for Vuzix and the industry in general. The investments, time and energy we made to date across these verticals have positioned us for an era of growth that we believe will ultimately be game-changing for the world, our financial results and market valuation. With that, I'll turn the call over to Grant for the financial overview. Grant?
Grant Neil Russell: Thank you, Paul. As Ed mentioned, the 10-Q we filed this afternoon with the SEC offers a detailed explanation of our quarterly financials. So I'm just going to provide you with a bit of color on some of the quarterly numbers. Our second quarter 2025 revenue was $1.3 million, up 19% year-over-year due to increased sales of smart glasses, particularly our M400. Engineering services sales were $0.3 million for the 3 months ended June 30, 2025, versus $0.5 million in the prior year's period. There was an overall gross loss of $0.8 million for the 3 months ended June 30, 2025, as compared to a gross loss of $0.3 million for the same period in 2024. The larger gross loss was a result of further reserves for inventory obsolescence, increased unapplied manufacturing overhead costs caused by lower production of smart glasses and a gross loss on engineering services due to additional costs being recognized that were not originally part of the overall engineering project budget. Research and development expense was $2.6 million for the 3 months ended June 30, 2025, as compared to $2.4 million for the comparable 2024 period, an increase of approximately 9%, largely due to increases in external development costs on new products. Sales and marketing expense was $1.4 million for the 3 months ended June 30, 2025, as compared to $2.2 million for the comparable 2024 period, a decrease of approximately 40%. The reduction in sales and marketing expense was largely due to a $0.5 million reduction in salary and benefits-related expenses driven by headcount decreases and the completion on April 30, 2025, of our 2024 cash salary reduction program in exchange for equity and a $0.3 million decrease in bad debt expense. General and administrative expense for the 3 months ended June 30, 2025, was $2.8 million versus $4.5 million for the comparable 2024 period, a decrease of approximately 39%. The reduction in total G&A expense is largely due to a decline in noncash stock- based compensation expense and the completion on April 30, 2025, of our 2024 cash salary reduction program in exchange for equity. Included in operating expenses for the 3 months ended June 30, 2024, was an noncash charge of $30.1 million related to the impairment of intangible assets and our equity investment in Atomistic. Excluding that $30.1 million impairment charge recorded in the 3-month period, ending June 30, 2024. Our total operating expenses for the 3 months ended June 30, 2025, declined $3.2 million or 31% to $7.1 million versus the prior year period, the lowest quarterly level achieved since 2020. The net loss for the 3 months ended June 30, 2025, was $7.7 million or $0.10 a share versus a net loss of $40.6 million or $0.62 per share for the same period in 2024. Now for some balance sheet and cash flow highlights. Our cash and cash equivalents position as of June 30, 2025, was $17.5 million, up from $15.2 million as of March 31, 2025. We had a positive working capital position of $20.3 million. As of June 30, 2025, the company continues to have no current or long-term debt obligations outstanding. For the second quarter of 2025, net cash flows used in operating activities was $4.7 million. For the 6 months ended June 30, 2025, net cash flows used in operating activities was $8.2 million versus $14.4 million for the same period -- for the same 6-month period in 2024. Cash used for investing activities for the second quarter of 2025 was just $0.9 million versus $1.2 million in the prior year's period. During the quarter ended June 30, 2025, we received a total of $7.9 million from various financing activities, which primarily included $5 million in net proceeds from the sale of Series B preferred stock to Quanta Computer under the terms of our SPA and $2.8 million in net proceeds from sales of common stock under our ATM program. Let me close by reiterating that we believe our overall cash position, along with maintaining a disciplined cost structure, further conversions of our finished goods inventories into cash and general business expansion, particularly on the ODM and OEM side and the expected receipt of Quanta tranche 3 funding gives us sufficient runway to execute on our current operating plan well into 2026.
Ed McGregor: Thanks, Grant. And with that, I would like to turn the call over to the operator for Q&A.
Operator: [Operator Instructions] Our first question is from Tyler Burmeister with Craig-Hallum.
Tyler Leroy Burmeister: Maybe first off, a point of clarification, I guess. The Tier 1 OEM that you began shipping to, is that with the Quanta partnership? Or is that outside of that? And then just maybe a little bit of an update on Quanta. I think you previously said you expect to have 2 programs shipping this year, I guess, still on track to get a second one later this year? And then what kind of time line should we be thinking about for a ramp of these programs?
Paul J. Travers: The good questions, Tyler. First, the program that we actually announced maybe 3 months ago or so. I can't remember when it was. It is actually not with Quanta. It's another very large supplier or manufacturer like ODM partner, and it's for a company that is making industrial thermal vision systems. And we've already delivered first units to this customer. We expect that business to continue to ramp as we go through the rest of this year and into 2026. There's a lot of potential in that particular project. We got irons in the fire with Quanta still. We should see some stuff before the end of this year, but 2026, I think, is where you'll see the bulk of the ramp start to happen with Quanta. Did I get all of those questions?
Tyler Leroy Burmeister: Perfect. No, that was perfect. And then maybe outside of Quanta, then on the defense side, we've talked in the past before about the opportunities for OEM work with defense contractors. Maybe just an update there, how those are tracking, what we might expect from those opportunities going forward, too?
Paul J. Travers: Yes, you're going to start to see first production orders here in the back half of this year. And we have multiple programs that are going on there. And more than one of them actually are at that point where they're starting to sample for production kinds of programs. It's not going to be really significant, but it also will be a heck of a stake in the ground when we start rolling here before the end of this year. And I think there'll be visibility into 2026 as those programs unfold.
Tyler Leroy Burmeister: That's great. And then maybe last one on the cash side of things. You guys have done a pretty good job here of working down your inventory, a little over $3 million in this quarter, down from north of $10 million a year ago. Just wondering how much more is there to go there? What kind of level of inventory would you consider normal operating inventory versus kind of excess inventory that you're still trying to work to monetize?
Paul J. Travers: I can start to answer that. Grant might want to add a little bit to it. The LX1 is generating some really incredible interest. We have customers that are -- have used the LX1, got an opportunity to expand on it and can do some testing with it. And a bunch of those want to upgrade their M400 fleet of products to the LX1. But we do have other customers that are finally through qualifications that will start rolling out programs on the M400. And so as the LX1 comes out, you'll see the M400 continue. At some point in time, the M400 will end up being obsolete. But for now, we plan to sell both programs in a parallel path. Inventory levels and the likes, I'll let Grant pick up that one.
Grant Neil Russell: I mean, ideally, we'd like to get it down to $2 million, but that's based on sort of the current revenue product sales basis. I mean, as that rises, it's going to increase a little, plus we're making some changes in our supply chain, we're going to be getting the LX1 from Quanta. So we're not having to buy all the raw materials and handle the WIP. So we'll be buying finished goods. So we hope to better manage it and try to minimize the amount of inventory we've got to carry, but have as much product as possible to respond quickly to customer needs.
Paul J. Travers: Yes. I mean we're trying to get our customers into a made-to-order basis. And I think that gets easier once they start to rollout and they see their own needs start to grow and they can project what that need is over time and get those orders into us in advance. So we're not building inventory for a warehouse. We're building for our warehouse. We're building them for their warehouses to go into productive programs. Thank you, Tyler. I believe that we have a couple of other questions that have come in over the last day or so. And Ed, do you want to...
Ed McGregor: We do, Paul. One is related to Quanta since we've achieved the hurdles, would you care to comment on when you think that $5 million might be coming in?
Paul J. Travers: I mean, at this point in time, it's only a matter of time, paperwork and the likes. I would suggest before the end of this year, we certainly should see that $5 million in our balance sheet.
Ed McGregor: Okay. And then a little bit of follow-on, on the LX1 since it's purpose-built for warehousing and logistics, does that mean we're kind of walking away or giving up on the other market verticals that we've always targeted?
Paul J. Travers: Again, I thought that was a great question when it came in. Look, the LX1 was built for warehousing, all day use. It has charger banks now that are designed to just plug them in, set it in the warehouse and rotate them through. So there's not cables everywhere. It's not a mess. It's designed to deploy much like the pick by voice systems are today. We basically mirrored what those things look like. So it's not difficult for those organizations to just put them in the warehouse and make them run. Often, people like to pair the smart glasses with a wrist-mounted barcode scanner. And there's NFC built into the glasses now. So literally, you just bump the handheld scanner -- excuse me, the wrist-mounted scanner against the Zebra-based scanners, by the way, are typically the ones that people use. You just bump it to the side of the glasses and boom, it's paired. You have to bring up screens. You don't have to type in numbers, et cetera, et cetera. I mean this thing was designed to put on and run a race in the warehouse. The all-day use case, it's 10 hours' worth of run time with this thing, nonstop, through an entire workday. It's designed to take off and throw it on the counter if you want to, just like the pick by voice systems. They need to be rugged and tough and make it through the day. We've learned a lot from the feedback that we've had from our customers on that side of the house. And we've built in what they want. And the feedback that we've gotten has been nothing, but positive. So there's been some trepidation on rolling out. It takes a lot more training with an M400 because it really comes more as a kit. This is just put on and go. That said, it's got a beautiful processor on it. It's a longevity processor from Qualcomm. What that means is into the future, there's going to be upgrades and upgrades and upgrades to the operating system. It's a fast processor. It's got a great camera on it. So applications like remote support, applications where you're in an operating theater, all of those applications should still run. And we have customers there that just can't wait to get their hands on them. But the main use case is this multibillion-dollar warehousing opportunity, and it wraps right around our Moviynt software, which is designed to fit hand the glove with it. So it's no longer -- look, we've got great ISVs on that side of the house, too, software partners that their software is already being tested to make sure it runs. And we've had further developments on that front. We've, I think, made an announcement of further rollouts on the M400 that same program is looking to upgrade also to the LX1 and it's all warehousing-based stuff. But the Vuzix Moviynt software Mobilium, now branded under Vuzix just plugs in hand of gloves. So you can ship a pair of glasses with the software is on it and it just goes. So it's really centered around warehousing, but there is no reason why it won't stream beautiful streaming 2-way communications for remote support applications. It can be used in -- from warehouses right on through to plant floors, but you'll see us doing a lot of push and a lot of focus in the warehousing space, which if it evolves as market and markets expects, could be a $25 billion industry by 2034.
Ed McGregor: Maybe as a last question, Paul. In terms of the rollout for the broad market of AI smart glasses, what do you think the biggest technological hurdles are right now to overcome in terms of this market taking off?
Paul J. Travers: I mean the reality of it is weight is one of the biggest issues when it comes to the mass market adopting glasses. If you're sitting at home and you're watching movies or something sitting in your couch is one thing. But when you're out and about walking around, if these things weigh much more than 35, 40 grams, people won't wear it. And if they look a little bit odd even, just a little bit odd even, they won't wear it. They're fashion statements. And so the technology that goes into making that happen is probably the biggest hurdle to deployment of smart glasses with displays in them today. Case in point is Meta with their Ray-Ban offerings. Ray-Ban does not have a display in it for a reason yet, and it's because they don't have waveguides that are priced right and they don't have display engines that can fit in the same space to make them look fast forward enough, fashion forward enough. Vuzix has the bulk of the answers to solve those problems. And that's, again, part of the reason why Quanta and others are starting to come to us because they see we're on a path to be able to supply and solve those problems. I think that's the end of the questions now. I'd like to thank everybody for showing up here for the conference call. It's going to be an exciting rest of this year. Look forward to having everybody along for our next conference call. And thanks, and have a great evening and end summer, everybody.
Operator: This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.